Operator: Ladies and gentlemen, welcome to the Fourth Quarter 2018 Badger Meter Earnings Conference Call. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Today's call is being recorded, Tuesday, February 5, 2019.
.:
Karen Bauer: Good morning, and welcome to the Badger Meter fourth quarter 2018 earnings conference call. On the call with me today are Ken Bockhorst, President and Chief Executive Officer; Bob Wrocklage, Chief Financial Officer; and Rick Johnson, Senior VP of Administration. Quickly I'll cover the Safe Harbor, reminding you that any forward-looking statements made during this call are subject to various risks and uncertainties, the most important of which are outlined in our press release and SEC filings. Finally, please note that on today's call we will refer to certain non-GAAP financial metrics. Our earnings press release schedule provides a reconciliation of the non-GAAP to GAAP financial metrics. With that, I'll turn the call over to Ken.
Ken Bockhorst: All right. Thanks, Karen, and thanks to all of you for joining for fourth quarter earnings call today. We are very pleased with the results for the quarter, and for the full-year with the positive momentum we experienced in the past couple of quarters continuing in the fourth quarter. Sales were a fourth quarter record, as well as our adjusted EPS of $0.40. Bob will walk you through the details of the quarter, and after that, I will come back and talk about our key strategic initiatives and our outlook. Before turning the call over to Bob, I first want to recognize and thank Rick Johnson, which is on the call with us for the final time. Rick is sometimes described as the "Kingmaker," the person comfortably standing a step behind the CEO, who implements the decisions and helps to execute and make them happen as he did for Rich Meeusen. He never saw the limelight, but was clearly instrumental to the great success of Badger Meter for nearly two decades. He will be missed. Now let me introduce you to Bob. Knowing Rick was nearing retirement, I began a broad search for a CFO to join Badger Meter who would fit the culture and have the metric-serving style that our complement me. The existing leadership team and I unanimously selected Bob from among the qualified candidates, and with the final approval of the Board, we joined us in August. He's now worked alongside Rick in both the finance and broader leadership teams for the past six months, and I'm extremely happy to have him onboard. With that, let me now turn the call over to Bob.
Bob Wrocklage: Thanks, Ken, and thank you, Rick, as well Beverly Smiley, our Corporate Controller who will also be retiring. For your guidance and counsel over the past six months, the two of you have made the stated guidelines. For competitive reasons, we do not comment on specific individual product line profitability other than in general terms, nor do we disclose specific components of cost to sales. For example, brass or other material or conversion cost components. We do not provide specific guidance on future earnings, as we believe this did not serve the long-term interest of our shareholders. Turning to the results, I will be talking to adjusted operating results and earnings per share during my commentary. To arrive at the adjusted results, I'm adding back the half-a-million pre-tax or $0.01 per share after-tax charge required for the accelerated vesting of equity resulting from the announced CFO and Corporate Controller retirements. Now turning to sales, our fourth quarter sales increased 8% to $104 million, compared to $97 million in the same period last year. The rate of increase was largely consistent between the municipal water and flow instrumentation product categories. The modestly favorable impact of distributor acquisitions was offset by unfavorable foreign currency translation, and in total the net of those two was not significant, the year-over-year comparison. Municipal water sales grew 8% in the fourth quarter due to higher domestic volumes of newer technology meters and related radios as well as increased service revenue. International sales were approximately level year-over-year. Flow instrumentation sales increased 9% year-over-year, reflecting solid industrial demand and improved channel distribution; most notably, within two of our targeted end-markets, water and waste water, and oil and gas. Adjusted operating profit was 14.6%, 2o basis point improvement over the prior year. Our Selling, Engineering, and Administrative or SEA expense leverage more than offset the modest year-over-year gross margin decline resulting from a difficult prior year comparison. Gross margin for the quarter was 38.5%, but is in the upper-half of what we would call our normalized range of 36% to 40%. We continue to see the favorable impact of manufacturing absorption from the highest sales volume year-over-year along with positive net pricing as brass input cost remains stable sequentially. We experienced favorable product mix with higher-than-average sales growth of meters with radios, ultrasonic meters and service revenue. However, it wasn't quite as favorable as the fourth quarter of last year. For example, the fourth quarter of 2018 included a reasonably-sized meter-only project, with the large municipality that was a modest drag to margins in the current year quarter. Adjusted SEA expenses in the fourth quarter declined modestly year-over-year, and as a percent of sales, were down 220 basis points to 23.8% from 26% in the prior year, as prudent spending controls were in place. The income tax provision in the fourth quarter was 23% compared to 44% last year, with the decline largely representing the impact of tax reform, which yielded a lower federal statutory rate year-over-year and the non-recurrence of certain transition tax items recorded in 2017. In total, the change in tax rate added about $0.09 of EPS growth year-over-year. Bottom line, adjusted net earnings and EPS were $11.6 million or $0.40 in the fourth quarter, an increase of 60% over the prior year. Our balance sheet remains solid. Free cash flow for the year was approximately $52 million, compared to $35 million in the prior year. 2018 free cash flow represents 115% conversion of adjusted net earnings for the year. Our net debt to adjusted EBITDA declined to less than 0.1 times, which clearly provides us ample liquidity to fund organic and acquisition growth as well as return capital to shareholders through dividends, which remains a capital allocation priority for the company. With that, I will turn the call back over to Ken.
Ken Bockhorst: Thanks, Bob. Just a few comments as we begin the new fiscal year, we've received this question more than a few times, so I want to be clear that Bob and I will be continuing the longstanding Badger Meter practice of not providing specific earnings guidance, quarterly or annually. Like Rich and Rick before us and our customers, we are focused on managing the business for the long-term. Having said that, I will provide some color on our trends, I continue to feel good about our order rates and backlog, which position us well for the year. As always, seasonality with the second and third quarters being strongest, along with unevenness quarter-to-quarter are still anticipated, but overall the backlog in quote activity bodes well for the year as a whole. We're experiencing increasingly positive feedback about our E-Series ORION Cellular [technical difficulty] the benefits of cellular, and partly because of the demonstrated benefits our customers are realizing. This is translating to commercial inquiries and wins. Our ORION LTE M-Cellular radio offering is 5G-ready, compatible and will improve the battery life, extend the range, lower costs, and increase the number of on-demand reads for utilities. We remain on schedule to complete the integration of D-Flow technology into our commercial E-Series meters as the first quarter progresses and into our residential offering, thereafter. Our input costs and material availability have remained stable as we expect to further leverage our SEA as the year progresses, as the duplicative transition leadership costs taper off. Finally, our adjusted tax rates remain in the mid 20s. In summary, we've had three strong quarters in a row, we're reaping the benefits of our commitments to R&D and to maintain our technology leadership position, and our minimal exposure to some of the unsettling macro uncertainties such as China, all serve to reinforce our positive outlook for 2019. I want to thank our employees across the globe for their strong efforts in 2018 and look forward to working alongside them to execute in 2019 and beyond. With that we're happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Nathan Jones with Stifel. Your line is open.
Nathan Jones: Good morning, everyone.
Ken Bockhorst: Hi, Nathan.
Nathan Jones: I know you guys don't provide long-term guidance or don't provide annual guidance or quarterly guidance or anything like that, I'm wondering if you could talk maybe more philosophically about where you think some of the levels you should operate, maybe where you think SG&A should be long-term, where you think working capital should be long-term, where you think - well, actually you guys already said 36 to 40 on gross margins, but maybe just start with SG&A and working capital and where you think those kinds of metrics should settle out over an extended period of time?
Ken Bockhorst: Yes, Nathan, good question, and good try to get us to provide some kind of guidance. That was a nice shot right out. So as we think about the long-term - and you asked a lot of questions there, so I'll touch on a few of them, but one of the things I talked to you about when I first was on the call was building a culture of continuous improvement. So we've been setting long-term goals around SEA, around working capital, and I'll start with working capital first. So right now we're probably around the 28-ish range. I could see us over the next couple of years working that into the mid-20s. As Bob just talked about with SEA, we were at 23.8% adjusted. We're going to continue to invest in R&D, so this isn't going to be just a complete leverage situation, but I would suspect over the next couple of years we could be leveraging that into the 22-ish range. You know, we definitely are setting longer term targets for the business and managing accordingly. I kind of missed what some of the other ones were you had there, but those are the first two off the top of my head.
Bob Wrocklage: So I think the key takeaway there is - I don't think we see a big step in any single year, but mostly targeting continued improvement over the long-term, both in terms of SEA leverage as well as primary working capital achievement as a percent of sales.
Nathan Jones: Okay. So the way we should be thinking about it is working capital is a tailwind to free cash flow over the next few years despite some continuing investment in R&D?
Bob Wrocklage: Yes, that's fair, yes.
Ken Bockhorst: Right.
Nathan Jones: Okay. On the D-Flow integration into our products here - I know Rich and Rick have been talking about that for a while, and that technology is supposed to start being in the products in the first half of this year. I know the company's pretty guarded on how much difference that makes to margins for competitive reasons, which I understand, maybe if you could give us any color on what the performance of those products improvement is there, how customers are reacting to it and any color you can give us on kind of how much that reduces costs?
Ken Bockhorst: So let me take that in a couple of parts. So first, we have launched our commercial E-Series meters which are three and four inch that's our first launch into the commercial space, includes added features like pressure sensing, temperature sensing as well as the metering. Last week we had our sales and distribution meeting, annual meeting, and there was tremendous excitement around the quoting activity and we do certainly have growth plans in the year for the three and four inch and we would expect to see similar conversion from mechanical meters to Ultrasonic on the commercial space going forward. As far as the residential, that's next in our value engineering projects. We will begin rolling out the smaller sizes toward the end of Q1, but most likely kind of mid Q2. You're right, we still are working through the how much is going to be margin enhancement and how much is going to be share gain and transitional. I'm looking at Bob here before I say anything about costs. So I'm going to stop just short on that.
Nathan Jones: Ah, that's fair, thanks for the color, I'll pass it on.
Ken Bockhorst: All right. Thank you.
Operator: Your next question comes from the line of Richard Eastman with Baird. Your line is open.
Richard Eastman: Yes, good morning and a best of luck to the Kingmaker, I like that. And hey, could you kind of speak maybe a little bit to pricing, 2018 was a little bit unusual, I think we took our typical January price increase then we I think bumped the flow instrumentation prices in October. How does pricing look here going forward in 2019? Will we stick with the typical January price increase, or how are we going to approach price here going forward?
Ken Bockhorst: Yes. Sure, sure. So in the utility space, you - and well, frankly - in both of them, you've described it correctly, what you're going to see this year is in the utility space, we did our normal [technical difficulty] January list price increase, I would just caution you to keep in mind that many of the things we do are project-based, which are kind of more competitive in nature, but we did - the list price increase was normal. In flow instrumentation, we just went out early in October and we did not do a January price increase like we normally would have.
Richard Eastman: Okay. So you did not do one in January of '19?
Ken Bockhorst: Correct.
Richard Eastman: Okay, you pull that forward into, okay, into October, I got you.
Ken Bockhorst: Yes.
Richard Eastman: And is your [technical difficulty] you can speak to for the [technical difficulty].
Ken Bockhorst: I - well - there is Rick's final answer for you. Rick. Yes.
Richard Eastman: I wouldn't have expected more. Okay. That's fine. We're kind of parsing it a little tight. And then a question around - you know, as the year end kind of unfolded, the fourth quarter unfolded was there any traction, you know, and I'm thinking more orders around the utility international business, whether it be in the Middle East, or even in Mexico, that maybe gives us some of look into 2019 in terms of how the international utility business might perform?
Ken Bockhorst: No, I mean, we're still optimistic on Middle East, but we didn't see any big orders flow through in the quarter, but the overall environment in the Middle East still feels the same to us and on Mexico, we didn't see anything meaningful either.
Richard Eastman: Okay. Okay. And then last question, you know, I think we kind of know the second and third quarter typically are fairly significant quarters, they're the biggest quarters of the year. Given the kind of unusual weather here in January, certainly in the Midwest, but any thoughts around the seasonality into the first quarter, I mean, typically, we can - where last few years we've seen actually an up-sequential quarter in revenue, but just any thoughts in terms of the trend here? Early in the year should we be just aware that we may see maybe a break for the trend and we may actually see a little bit of down revenue sequentially just due to weather?
Ken Bockhorst: Well, the first thing I'll do is caution you that we're only 35% of the way through the quarter, and I have no idea what the weather will be, I don't think anybody does, but…
Richard Eastman: Yes…
Ken Bockhorst: Yes. But if you remember, last year, Q1 was a pretty bad weather quarter, right, so we certainly felt some impact last week, you know, for that one particular week, obviously, people weren't out working and doing installations, but year-over-year, I think it's too early to say that there's going to be a negative impact because last year was - I think some a lot of facilities were closed, 12 days in the quarter last year, so -
Richard Eastman: Okay, okay, okay.
Ken Bockhorst: And then, in terms of then just a normal quarter, I don't feel like we should be cautioning you that Q1 is going to be worse than, say, Q4.
Richard Eastman: Okay. And then, just last question, I promise here, around the industrial fall business, give some of the macro data points we've seen around, maybe around oil and gas, I mean, water waste, water should be largely unaffected. But is there any caution or concern on your part in '19, that the industrial flow business may, may rollover and just relative to what we're seeing from a macro perspective?
Ken Bockhorst: Yes. So, I think in our core target markets that we've talked about, we're still small enough and we…
Richard Eastman: Okay, very good. Well, thank you. Much appreciated.
Ken Bockhorst: Okay. Yes, thanks.
Operator: Your next question comes from the line of Ryan Connors of Boenning & Scattergood. Your line is open.
Ryan Connors: Great thanks for the question. A couple well actually big picture questions for you. The one is you've talked a little bit about the ultrasonic metering I guess there's been some talk about some new entry there some of the international players becoming a lot more active in the U.S. can just talk about what you're hearing on that front and how you interpret that?
Ken Bockhorst: In the past, Rich has told you that it has been growing to be about 30% of our meter revenue. And now with another strong fourth quarter, it's higher than that, so we're continuing to see some really good conversion and wins there. Yet last year, we did have some people, some of the European players kicking around but we really didn't see anything meaningful happen, right? There was an announcement of one of them at a show that they were going to release a meter didn't really make an impact. There was another one who was trying to start up in the U.S., so they're here, we're aware of them, we are watching them, but we haven't seen any impact from it.
Ryan Connors: Okay, that's good to hear. My other question was just real big picture of nature, Ken can you given that this is your first official call as CEO, obviously you've got a phenomenal based business in the North America utility metering side, but at the same time, there's not a lot of room for maneuver from a portfolio standpoint within that space. So what is your vision for the company, are there adjacent fees, you think expanding into or upstream or I guess if I look at a decade from now and you're handing over the reins to your successor. How Badger look differently, what's your vision in that respect?
Ken Bockhorst: Well, I only did a five-year strategic plan. And that sounds like a 20-year horizon, probably Ryan, but I'll try to give it so. So we definitely have a long history of investing in R&D and innovation. And we're going to continue to do that and by monitoring. We're getting a really good handle of what's available in that space. And it would be very, I think, very reasonable to think of us as a company that's going to do a lot more than just metering in the future.
Ryan Connors: Okay, fair enough. Thanks a lot.
Ken Bockhorst: Sure. Thank you.
Operator: Your next question comes from the line Hasan Doza with WAM. Your line is open.
Hasan Doza: Hi, good morning everyone and thanks to the presentation deck it's helpful. Two questions, one I did notice did the account receivable kicked up year-over-year, any kind of underlying reasons or trends for the receivables by taking up this quarter versus same quarter into fourth quarter in '18?
Rick Johnson: Yes, so I think clearly what you're seeing and those numbers is a reflection of the Middle East revenue growth that we had in 2018. As you know there're regional differences in payment terms, pay practices and otherwise. So we're currently carrying a modestly higher international receivable balance largely as a function of payment terms. But other than that it's pretty standard course across our North American customer base as well as the residual piece of international so nothing that I would call as an outlier or anything that that we're concerned about.
Hasan Doza: How much in a ballpark or order of magnitude, how much in sales, which you have already booked you're waiting payments on, is it like, on the international belief piece is it like $5 million, $10 million what's kind of the order of magnitude?
Rick Johnson: Yes, I don't know - we're not in the practice of commenting specifically on that but it'll be less than that amount.
Hasan Doza: Okay And my second question is more for Ken and Ken thank you for slide number seven, which kind of talks about the capital allocation priorities as you kind of highlighted in your slides about the future capital allocation is going to be according to the pie chart more geared toward acquisitions. So I would love to kind of hear your view and your thoughts about, what are you thinking in terms of acquisition opportunities in terms of regions, countries that you particularly likes I would love to kind of hear your strategic thoughts on the acquisitions given that based on your slide deck, it appears to be have a more pronounced view going forward…
Ken Bockhorst: No. Sure. Yes. Good question. So I guess, the way you should think about it is, rather than us continuing to pay down debt, because we virtually have not now we're looking to redeploy that into some really disciplined M&A activity. So as I mentioned previously, water quality is certainly something that is of interest to us that I think whether it's being able to sell globally or not, frankly, we can just sell that to the customers we already have, or pipeline monitoring. There're definitely regions that interest us, we're not going to go on a global crusade, but there's several regions that we're sure that we can win with, with the portfolio that we have as well as some M&A tuck-in activity. So we're not going to go out and buy huge companies. We're not going to go out and buy a company in China, but we're certainly going to add in the water quality a monitoring type space.
Hasan Doza: Okay. Thank you.
Ken Bockhorst: You're welcome.
Operator: Your next question comes from the line of Richard Verdi with Coker Palmer. Your line is open.
Richard Verdi: Hi, good morning, and thank you for taking my call. First, just wanted to say, Rick, I wish you all the best in your retirement. And I really appreciate it all your times of all your time over the years and getting to know you. I thought you did an excellent job and I just want to congratulate you on a well-deserved retirement Rick. Thank you very much.
Rick Johnson: Great. Thank you.
Richard Verdi: So just a first question from kind of both you guys that the follow-up to Ryan's. Yes, the question but his second question but just a follow-up, the initiatives that you had mentioned Ken, what would you say would be the first on the list that the company's going to pursue? Go ahead. I'm sorry, go ahead.
Ken Bockhorst: No, finish your question. Go ahead.
Richard Verdi: He just had mentioned where you see the - what the vision will be in five or 10 years. I'm just hoping you kind of give us what that gives us a sense of where you'll focus first?
Ken Bockhorst: Yes, so do you mean specifically what types of technologies what we add? What countries would we be going into? Is that the type of color you're asking?
Richard Verdi: Yes, that will be perfect. Thank you.
Ken Bockhorst: Yes, sounds great. So -
Richard Verdi: And if you could just name the company also it would be wonderful.
Ken Bockhorst: Yes. So we've been doing quite a bit of scoping out the technologies that we think we could sell to our existing customers as well as take to other regions we've been looking at regions where perhaps we could leverage both our utility water and the oil and gas and Petrochem type spaces and HVAC. So we've got a pretty good internal map that I don't want to publicly disclose too much about but it also depends on someone has to be available in the space. So if I could tell you specifically which companies are going to be willing to sell today, I can be more prescriptive. But I think if you think around it around water quality monitoring the things that we can sell to the customers we already have in leverage around the world that would be pretty close to what you should think about.
Richard Verdi: That's great. Thank you very much for that. And then, just the last question, it's another high-level question. You know, we've seen some economic data points over the last few months, like wages and inflation, we've seen them climb and I was just wondering if Badger Meter is expecting to see any cost pressures from these data points in 2019 or if there's any other sort of data point maybe the company's watching for cost pressures this year or maybe not?
Ken Bockhorst: Well, we're certainly watching cost pressures and we know for a fact that a lot of people have been talking about challenges with electronic parts and inflation costs and wage costs, and I'm really proud of the performance that our team had in Q4 because we are not immune to those issues, but our team did a fantastic job of getting out ahead of some of the supply constraints and making sure that we could satisfy our customers without taking huge increases that we couldn't offset with price. So first off, I think we're doing a really good job mitigating those costs like anybody else we're going to have wage inflation this year but we have it every year. So that's not going to be a different headwind than normal but we've got our eyes on electronics and commodity costs just like everybody else and we're taking every action that we can to stay ahead and so far, I think we've done a great job.
Richard Verdi: That's excellent color, thank you very much for the time guys. Appreciate it.
Ken Bockhorst: Thank you.
Operator: Your next question comes from the line of Brian Rafn with Morgan Dempsey Capital. Your line is open.
Brian Rafn: Good morning, guys.
Ken Bockhorst: Hi, Brian.
Brian Rafn: Hi, I just got to say, Rick it's I'm going to miss you buddy, it's been 20 years. So all the best to you in your retirement you've done a fabulous job and it's been enjoyable to get to know you.
Rick Johnson: Thank you.
Brian Rafn: Let me ask on the ORION Cellular Radio or the LTM, what can you talk a little bit about bids and quotes in that, how do you see that kind of adoption as they roll out a 5G network across the country and early adopters in utilities looking at making those purchases?
Ken Bockhorst: Sure. Well, this is a really big move for us, right. So we redesigned our radios incorporated in the LTM chips and this really now has us ready for 5G, so anywhere that the network goes in and utilities want to use it, we're ready to go, the other thing that's important to understand about it is that we don't lose any of the capability to continue to support 4G, 3G, 2G or whatever happened ahead of it. So it's a really significant move, additionally increases the benefits for our customers whether it's a longer battery life, better reach, On-Demand reads, the things everyone's been hoping for and it reduces cost. So overall this is a really big deal for us and for the market and in terms of acceptance, we're absolutely confident that it's going to be accepted, we've got great feedback with it being part of the AT&T smartcity alliance, we're getting opportunities to be at mayors conferences and in front of large municipalities talking about it. So it's a really big deal and we're getting great feedback on it.
Brian Rafn: Okay. From the standpoint of kind of a high level question from the standpoint of as you take you come from Rich and Rick's team and the right family and that big legacy like we're very confident…
Ken Bockhorst: Which one do you think was better?
Brian Rafn: I don't know, I think - you guys are nice, and that's in a good way, that's a top legacy. You talked a little bit about the strategic and how you see going out and expanding the business, how do you see maybe five, 10 years out and the culture at Badger Meter, I mean you guys get a very strong culture, very paternalistic, you got employees that stay forever, how do you see you maintain that or does that changed too?
Ken Bockhorst: Yes, so the first thing that I tell everybody and I'm absolutely sincere about it is that we're going to preserve the legacy of the 114 year old company that's been, that's been priding itself on innovation for all these years. So that is first and foremost on my mind, we absolutely benefit from having long-term employees because we have long-term customers and at the same time we're adding more people to the business that have some of the cellular capabilities as we've been changing over our sales force quite a bit in the past here to be able to sell the new technologies in conjunction with the great sales team that we've had. So we're going to be smart about it, everybody that we bring in including me, the board was very exhaustive in doing cycle evaluations and culture tests and all these things on the way end and something I take serious and when I hired Bob, when we're hired Karen, when we bring other people in, we're really making sure that the skills and the culture of the people are going to be additive to what we do. It certainly will have to change but it's going to be more of an evolution than a change.
Brian Rafn: Got it, I appreciate the answer. Let me ask you, you talked a little bit about the acquisitions, how do you see there have been some size parameters relative to we wouldn't look at deals less than so many dollars in sales revenue on the niche basis, I think you talked a little bit that you're not really going to see massive transformation. How do you kind of see maybe the size of the acquisitions and your - kind of your philosophy on pricing?
Ken Bockhorst: Yes, I would tell you as you think about technology, there may not be a deal that's too small, if it's the right technology that we can leverage through the strong customer base and market share, we already have in the U.S. but there are deals that would be too big, right. So we're not interested in going out and swallowing companies that are three or four times our size and then completely changing over what we've been for 114 years. So we will definitely be if I had a sweet spot, I'd say probably somewhere between $35 million to $55 million, $60 million is probably the right size to be meaningful digestible but we definitely won't go huge.
Brian Rafn: Yes, and would you also say that you would look at those acquisitions in the digestibility of that cycle be more one offs versus having multiple war fronts where you're making multiple acquisitions of size?
Ken Bockhorst: No, I think it's, I think it could be possible that we're picking up a couple of different small companies that are different technologies that we could leverage through together. We would not be precluded from doing that.
Operator: Your next question comes from the line of Andrew Buscaglia with Berenberg. Your line is open.
Andrew Buscaglia: Hey guys, thanks for taking my questions.
Ken Bockhorst: Hi Andrew, you bet.
Andrew Buscaglia: I just want to touch on your ultrasonic sound side, it seems very interesting at this point and as I recall from past calls, this is about a quarter of your sales is going very fast, can you parse out what the greater growth is or what the normal long-term rate of growth. May be I don't know if you want to talk about it for the industry or for you guys obviously thought of growing that but and then what do you expect it to be as a percentage of your sales, if you are looking out five years or have you set targets like that internally?
Ken Bockhorst: Yes, so first it's not a quarter of our revenue, it's slightly more than 30% of our meter revenue, right. So that doesn't include radios and the other pieces which what excites me about it is that we're seeing the ramp up and people moving toward the ultrasonic technology but we still have a ton of runway on the residential side plus building out the full line on the commercial side. To say that I have not put a percent I guess on what that would be but I could certainly see that continuing to grow and being surely more than 50% of the meter revenue in over the next few years.
Andrew Buscaglia: Okay, that's helpful and then past presentation you guys had a comment about you would see about $30 million I believe of additional revenue for every percent adoption of smart metering. Although still longer in your side, so maybe what happened with that or what is the expectation lower now or can you - you know, what I'm referring to?
Ken Bockhorst: Yes, so let me tell it to you this way instead of trying to put a number on it because that depends on which cities, what size how fast they implement the technology but if you go back to a meter with no technology and they just buy a brass meter which is great, we'll still sell that to people happily but the average selling price is perhaps one third of what we would sell on E-Series meter plus a radio plus a software package. So if you just think about it as kind of a three times lever as people change, it is certainly meaningful, I don't think I would put a dollar amount on every 1% that changes but it matters greatly.
Andrew Buscaglia: Okay, okay.
Operator: [Operator Instructions] Your next question comes from the line of Brian Rafn with Morgan Dempsey Capital. Your line is open.
Brian Rafn: Yes, Ken just a follow-up. As you start seeing with the new ORION Cellular or the LTM technology and you move to 5G, what does that do to cannibalize some of the old legacy systems, Galaxy and drive-by and walk-by are these really things that are disappearing or there's still viable geographies where they might be one-off installations?
Ken Bockhorst: Yes, those are still absolutely viable but you may have a city that's been doing drive-by with us for 20 years that might decide that they want to go to cellular. So they can move up the chain or people can go from no technology at all straight to cellular rather than going to drive by. It really is extremely flexible. But it doesn't nag someone out from using drive by. That's perfectly fine and perfectly acceptable for a lot of utilities.
Brian Rafn: Got you. No, I appreciate that. What was just the price increase for January, obviously that works through different projects, but what was kind of the official number in pricing increase?
Ken Bockhorst: Generally what we had implemented in January 2019 averaged out to between 2% and 3% across the board.
Brian Rafn: Okay. And then what it was - Rick talked a little bit about weather. Was there any favorable weather with a little bit of a warmer winter, or something and something in the fourth quarter?
Ken Bockhorst: I don't know if that had any impact. I think it felt normal to me. I don't know.
Brian Rafn: Okay, all right. Then any thought relative to manufacturing. How do you feel maybe where you are today with your manufacturing production footprint?
Ken Bockhorst: Well, as I have said before on the call our operations haven't been hurting us, but we haven't really implemented a culture of continuous improvement. So what we are driving throughout the business is an intense focus on improving safety, quality, delivery, and cost. And, we are going to continue to do that. I don't have any you asked about footprint. Footprint is something that we will continually look at every year as a part of a normal process. But we will definitely be improving our operations just through the natural continuous improvement focus.
Brian Rafn: Okay. And then maybe an adjunct to that, Ken, when you look at kind of the cycle time between engineering concept, design prototyping and bringing to the market, are you looking at making any advances relative to moving that that kind of concept to production to sale cycle time compressing that a little more rapidly, or, are you really pretty happy with where it is today?
Ken Bockhorst: So people who have gotten to know me will know that I will never be happy with that. It will never be fast enough, but our team does a great job.
Brian Rafn: Okay. All right.
Ken Bockhorst: But I'll always want it to be faster yes.
Brian Rafn: Okay, thanks guys. Appreciate.
Ken Bockhorst: All right, thank you.
Operator: There are no further questions in the queue at this time. I will turn the call back over to Ms. Karen Bauer for closing remarks.
Karen Bauer: Thank you all for joining our call today. For your planning purposes, our first quarter call is tentatively scheduled for April 17. I'll be around all day to take any follow-up questions you might have. Have a great day.
Operator: This does conclude today's conference call. You may now disconnect.